Operator: Good morning, ladies and gentlemen. Welcome to the Full Year 2019 Results of ProSiebenSat. 1 Media SE. This conference is being recorded.  Today's call is hosted by Mr. Ralf Gierig. Please go ahead, sir.
Ralf Gierig: Good morning, ladies and gentlemen. Welcome also from my side to our full year 2019 results presentation. Today's presentation is hosted by our CEO, Max Conze; and our CFO, Rainer Beaujean. As you know, we had a corona case in our ProSiebenSat. 1 Dusseldorf office and the care of our employees is priority number 1. All are well, operations of business continue with no disruption.  However, in accordance with company policies, we ordered those who are in the exposure chain to stay at home. This is was the case for some of management, including Max and Rainer. As we are operating this event from different places today, we decided instead of the usual Q&A session to invite you to direct your questions in writing to Dirk Voigtlander, IR team or myself. We will answer your questions in writing and upload the key questions and related answers on our IR web page later today. Max and Rainer will also be available upon request. Before we now start with the presentation, we will have a short company trailer for those of you following our webcast. For those of you who are dialed in, you will listen to music while we play the trailer. So please stay tuned. Post the trailer, Max and Rainer will lead you through our presentation. Links to the dial-ins webcast presentation, other full year results materials, including our annual report were made available via our e-mail invitation this morning. The webcast will be available also post our call. With this, we start with the trailer.
Max Conze: Good morning also from my side. And welcome to our analyst call. Today we will be discussing the results for 2019 and our outlook for 2020. '19 was a year of good progress in transforming ProSiebenSat. 1 into a diversified digital group. We worked very hard in the past year on the implementation of our group strategy and have taken a decisive step forward. We will also later discuss our proposed deal with Meet Group that I'm quite excited about and that we announced this morning. Starting on Slide 3. Let's take a quick look at our financials before Rainer will go into more details later. In 2019, we grew revenues by plus 3%. This despite a very challenging TV advertising market and indeed ahead of many German and European peers. The key factor here was that we further expanded our degree of diversification. Digital and smart advertising business grew plus 38%, partially compensating for the decline in TV advertising.  Revenues leading our overall entertainment revenues to be negative 2% organically. But our studios grew by plus 18%, NuCom by plus 16%. And importantly, now more than half of our revenues are not TV advertising, growing plus 12%. Indeed, they account for 52% of group revenues, and that is 4 points ahead of previous year. Against the backdrop of a weakening TV advertising market and the important investments we announced and made in 2019, adjusted EBITDA declined as expected, falling by minus 14%. On the other hand, free cash flow before M&A increased by plus 39% in 2019. If you go to Slide 4, we've made very strong operational progress through 2019 on our strategic priorities in becoming a diversified digital entertainment and commerce champion. One local content. We've never launched many German formats as we did in 2019, 160 new German formats and programs, best annual market share since 2015, and digital viewing time across all channels and platforms growing by 30%. Two digital attack. I really think with Joyn, we've created a unique streaming platform in Europe because we combine more than 60 live TV channels with a video-on-demand library with more than 39,000 video assets. And I think we're setting the standard here. Three smart reach. Digital advertising and smart advertising is growing very dynamically at plus 38%. And with d-force, we have created an Ad Tech champion together with RTL that allows one booking platform for intelligent TV and online video advertising. This corporation is unique in Europe, and indeed, I think, a space where there's more to come. For Red Arrow Studios, a very good year for Red Arrow Studios, especially for our German business, as our focus is increasing, on increasing the proportion of in-house production. 2019, 18% of our local program came from our own RedSeven, that's 4 points ahead of previous year. You will have seen our announcement that we've set up a second production company in Germany called Pyjama Pictures, and again, I think, a space where we look for more to come. NuCom number 5, is our most powerful lever for diversification and continues to grow at double-digit rate. It's uniquely benefiting from the entertainment power of bringing live our programming with 60 million Germans every month. 6th transformation. We've made good structural progress on organization from setting up an end-to-end entertainment company, a cleaner holding setup, we've taken out management layers, refresh the team and really worked on our corporate culture. In short, we've become faster, more flexible and more efficient. Now if you go to Slide 5, I just wanted to go a little bit deeper on 2, 3 of these points. So on Slide 5, if you look at local content, it's really at the heart of our strategy because I think if we want to be successful as a broadcaster and platform agnostic, German entertainment footprint, then we need to own the content we create. In 2019, we've invested more than €1 billion in our programming with much greater emphasis on in-house production, ProSieben alone hit 33% more local content in Primetime, and it's working. One example that I quite like is Late Night Berlin because it shows that our formats are no longer just about linear in digital. In Late Night Berlin, where Klaas, I think, is quite quickly becoming the German James Corden, we now have a larger audience online than linear. And it's really the first time for us with a key brand or format, where we are achieving a higher total video view time on all online platforms than on linear TV, and yet at the same point in time, our linear TV audience is also growing. We want more of this. If you go to Slide 6. I wanted to move to Joyn, our streaming platform that we're running jointly with Discovery. We have a clear stand-alone position in the German market. We combine live TV with video-on-demand content all in just one app. And users, I think, find our combination just right. If you look at the share of live TV to video-on-demand, it's almost balanced at 47%, 53%. We've launched our free version on the 18th of June last year, our subscription growth with Joyn PLUS+ at the 28th of November. And in Joyn PLUS+, we're offering a much bigger lineup of originals and a very deep library. We're still in the starting phase. But I think our initial figures are quite encouraging.  The app was downloaded more than 6.5 million times in 2019. Unique users in December were 3.5 million, up 30% on November, and our monthly active users were over 7 million at the end of the year. Recall that when we embarked on this journey, I set out an ambition for us to reach 10 million users within the first 2 years of being live. And indeed, I am quite confident that we have a good shot at achieving that number already in 2020. Now on Slide 7, ultimately, what really matters is that we market our reach, whether it's digital or linear, more profitable. And smart advertising products in this player, the sizable because they enable us to make tailored offers to advertising customers in addition to the mass broad reach appeal we have. And in 2019, we've really initiated a great dossier that will help us in 2020 and the coming years. Now more than 12 million households in Germany can be targeted via addressable TV campaigns, thereof 5 million via addressable TV spots. So you can see the huge potential that we can tap into with our addressable TV spot product that we launched in August. This means that TV advertising can be played out exclusively to an individually defined target audience and the play out criteria can be gender, age, geography, interest, net income and so forth. In 2019, we've played out over 800 addressable TV campaigns. And in June, we entered into a joint venture d-force with RTL, which I think is really a unique corporation in the advertising market that does not exist anywhere else in Europe. We now offer a fully automated platform that allows companies to book advertising, both addressable TV and online video through one single interface. Maybe also a good moment to emphasize how important both national and European partnerships are in the media and tech sector. After all, we have massive potential for innovation in this area to a world of our own against competition coming from a cost per point. Onto Slide 8 and distribution. Just wanted to make a point here that distribution is an area that's becoming increasingly important and opens up new revenue models for us. Where we benefit from the technical activation fees that end customers pay the respective providers for programs in high-definition quality. Our HD user base grew by 6% and the number of users of our ProSiebenSat. 1 HD stations in Germany is now 10 million plus. We have concluded new distribution agreements and, of course, Joyn is included in this. And in total, the revenues in our distribution business are now €155 million, are growing at 10% over 2018. Onto Red Arrow Studios on Slide 9. Red Arrow Studios has really had a superb year with many records and awards for our production and distribution business and, importantly, also expanding our local German footprint. RedSeven Entertainment, our Germany speaking production business looks back on the strongest year in its history in terms of revenue and profit, with a strong increase in orders from the Mother House. RedSeven produced 46% more video content to just take one number, but also the setup of our next German production company Pyjama Pictures with Christian Ulmen and Carsten Kelber is a milestone in how we're building a much bigger and wider creative footprint in Germany. Red Arrow Studios increased it's sales internationally and to all major networks, growing revenues plus 18%, producing 24% more hours of video, which includes a few really great formats. If you haven't seen them, one of my personal favorites is Vienna Blood, which, by the way, increased the average market share on BBC Two by over 50%. Studio71 spends more than anything else for the expansion of our digital reach from YouTube to Instagram, Tik Tok and Snapchat. Now 12 of the 30 top German YouTube channels are ours. And Studio71 has gained 19% subscribers on those channels in 2019. And if you're not bored with numbers on Snapchat, we have increased snaps globally by 3.3 billion. NuCom, Slide 10. NuCom, I think, plays a very unique role where we uniquely have the ability to use our entertainment muscle to scale mostly digital commerce assets. And I think we've been doing this incredibly well. And indeed, the examples of Flaconi and eharmony show how we're approaching this. We made a choice to invest more in Flaconi, and we've been able to advance the business growing 48% in revenues, which, by the way, is a 15-fold increase over 2014 when we put our first foot into this business. We are now in Germany, Austria, but also Poland, and we've brought in more than 1 million new customers. Parship Group is an extraordinary story, and I'm particularly proud that we've done something that I think is quite unique, where we took over eharmony which, in many ways, in 2001 played a key role in online young Matchmaking market in the U.S. We took the knowledge and skill set that we have in building, winning and leading matchmaking businesses, and took eharmony, which was a bit tired, changed attack, changed the marketing, improved the user experience, and indeed, in December, the platform generated 56% more revenue growth and in January, 55%. For more detail on our financial figures.  I will now hand over to Rainer.
Rainer Beaujean: Thanks, Max, and good morning also from my side. I would like to continue with the review of our financial performance in the financial year 2019 as well as our dividend proposal to the general shareholder meeting. And last but not least, our financial targets for the financial year 2020. Please turn with me to the next page. Our financial year 2019 results have all been in line with our comments made in our Q3 results. Revenues grew by plus 3% on a reported and plus 2% on an organic basis. Although we have certainly not been satisfied with the revenue decline in the TV core advertising business, the growth of plus 12% in all other areas combined illustrates the strong progress we have made in terms of the transformation of our group. Entertainment revenues declined by minus 4%, mainly as a result of a negative TV core advertising performance and several deconsolidation effects.  On an organic basis, i.e., adjusted for the deconsolidation of maxdome and 7NXT as well as currency effects, revenues declined by minus 2%. It is worth highlighting that we could limit the decline of total entertainment advertising revenues to minus 2% in a demanding economic market environment due to dynamically growing digital and smart advertising revenues. Digital and smart advertising revenues grew strongly by plus 38%. Revenues of our Red Arrow Studios increased by plus 18% on a reported and plus 13% on an organic basis.  This growth is a result of strong growth of both the content production and distribution business as well as our Studio71. Last, but certainly not least, NuCom Group revenues improved by plus 16%, driven by all verticals. Besides solid organic revenue growth of plus 8%, especially the first time consolidation of eharmony group and Aroundhome had a positive impact. The organic performance was supported by substantial growth of Flaconi and Windstar, while Verivox continued to be negatively impacted by a challenging market environment following the insolvency of the German energy provider. Please turn with me to Page number 13. Adjusted EBITDA on the group declined by minus 14%, which on the one hand, reflect the already announced incremental investments in our entertainment and commerce segment in the low 3-digit million euro range, and on the other hand, a more pronounced decline of TV core advertising revenues that previously anticipated. Since the possible worst-case scenario of approximately €850 million, which we have referred to in the context of our Q3 2019 results has not materialized, group adjusted EBITDA reached €872 million. I would like to highlight that we have made a conscious decision to continue to invest in our entertainment activities as planned, despite a more demanding macro and advertising market environment in order to continue to make strong progress in terms of the transformation of the entertainment division into a platform-independent, sustainably profitable business. Red Arrow Studios, including Studio71, benefited from a very solid operating leverage with the increase of €100 million in terms of external revenues and €23 million of internal revenues led to a segment adjusted EBITDA increase of €17 million or plus 57% to €48 million. The NuCom Group delivered earnings in line with the outlook provided in our Q3 results presentation and achieved an adjusted EBITDA of €98 million. The slight decline by minus 4% reflects both growing profit, such as of the matchmaking business, but also incremental investments such as in Flaconi as well as lower profits of Verivox. Let me continue on Page 14 with a comment on EBIT, net income and free cash flow. Thanks to notably lower one-off effects, which in the prior year were predominantly related to a change in our program strategy and result in impairment and provision. EBIT and reported net income both improved notably by plus 66%. The financial result came in at minus €6 million. This has been the result of 2 opposing effects. On the one hand, financial results was predominantly determined by a negative interest result of minus €56 million as well as the negative at equity result of minus €50 million, mainly due to the group's share of the net loss of our streaming platform Joyn. On the other hand, valuation effects in the amount of approximately €100 million, led to a meaningful counterbalancing effect. Adjusted for one-off effects, financial results came in at about €130 million. Adjusted net income, as expected, mirrored the development of adjusted EBITDA as well as the before mentioned weaker underlying financial result. Let me also again remind you that the financial year 2019 was marked by several significant investments in the future of the group. Despite all this, free cash flow before M&A improved by plus 39% present to €339 million. Please turn with me to Page number 15. On this page, we would like to make a couple of additional comments about program CapEx and program spend since the information provided in the annual report, as well as the cash flow statement, are not necessarily though explanatory. Let me start with the current program assets. The chart on the left-hand side shows how the program assets have developed, i.e., how many program rights have been added to the balance sheet and how much has been used. As can be seen, we have acquired program rights in the amount of €1.170 billion, which not only includes formats from already provisioned U.S. license content but also an incremental upfront investment of more than €17 million in local commissioned content. On the other hand, program rights in the amount of €1.60 billion have either been aired and amortized or an already recognized provision has been used. As a result of the use of the provision, the consumption shown in the cash flow statement of €958 million is lower than the balance sheet. Our program assets have, therefore, increased by €91 million, which to a large extent, is additional content we will use in the foreseeable future. Last but not least, we want to shed a bit more light on the total program cost of the group. The main difference between total group program costs and program consumption is content, which is directly expensed, i.e., which we do not capitalize on the balance sheet. Total program costs of the group has increased to €1.030 billion up from €981 million, excluding maxdome and 7NXT last year. For the year 2020, we are planning a further increase of up to €50 million, which may lead to a total program cost of up to €1.080 billion.  This €50 million is a number which is not 100% clear and where we will decide in 2020 if it is worth to spend it. Let us now have a look at the group's net debt position on Page 16. At the year-end 2019, the group's net debt position was €2.245 billion, which means an increase of €82 million compared to year-end 2018 and a reduction by €343 million in the fourth quarter due to a strong cash generation. The increase of the net debt position was primarily the result of €130 million M&A-related cash expenses. The dividend of €269 million and also other negative cash effects, such as from the investments in Joyn have been fully covered by the generated operating free cash flow.  Financial leverage increased to 2.6x, mainly as a result of a lower adjusted EBITDA. As you know, we have made the decision to invest in several areas in entertainment and NuCom, which besides lower profits resulting from our advertising activities led to an expected increase of the financial leverage. Please note that we remain fully committed to our midterm general financial leverage target range of 1.5 to 2.5x, which we expect to reach again through excess cash generation, adjusted EBITDA growth, but also active portfolio management. Please turn to Page 17, where we show our dividend proposal for the financial year 2019. Since financial year 2018, ProSiebenSat. 1 has pursued a dividend policy of distributing around 50% of the adjusted net income to the shareholders as a dividend. Cash inflows exceeding the dividend distribution will primarily be used for investments on organic and inorganic growth. In line with the aforementioned distribution policy. The Executive Committee is advising the Supervisory Board to propose a dividend of around 50% of adjusted net income or €0.85 per share to the Annual General shareholder meeting.  This compares to €1.19 per share last year and currently represent an attractive dividend yield of about 8%. Let me finish my part of the presentation with the presentation of our financial outlook for the year 2020 as well as the comments on 2 major milestones in terms of the group's transformation on Page 18 and 19. In 2020, we are targeting group revenues of approximately €4.3 billion in our base case scenario, which comprises flat entertainment segment revenues as well as low double-digit growth of Red Arrow Studios and the NuCom Group.  It is also based on the assumption of slightly declining entertainment advertising revenues, resulting from a more pronounced decline of TV core advertising revenues and a further dynamic increase in digital and smart advertising revenues amongst us. Despite incremental program investment of up to €50 million, we are targeting an about stable adjusted EBITDA of approximately €870 million in this scenario. Please note also that this assumption takes constant exchange rates and an unchanged portfolio, e.g., the Meet Group acquisition into account. As can be seen on the slide, we also provide ranges for both group revenues and adjusted EBITDA besides our base case scenario. This should reflect a potential weaker or better financial performance of the group. This predominantly relates to a better or worse development of entertainment advertising revenues in the range of assumed minus 3% to plus 2%, whereas our base case scenario assumption of slightly declining entertainment advertising revenues, a different mix in terms of group revenues and hence, cost development. As a result, group revenues may vary in the range of €4.2 billion to €4.4 billion, whereas adjusted EBITDA is expected to be in the range of €800 million to €900 million. Adjusted net income is expected to reflect the adjusted EBITDA development, but also further increase of depreciation and a somewhat weaker at equity results due to slightly higher investments in Joyn. It may, therefore, decline in the double-digit euro million range. We also expect the free cash flow to decline by at least a double-digit euro million amount due to an increase of CapEx related to our campus in Unterfohring and higher, again, normalized tax payment. Last but not least, we expect the group's financial leverage to be slightly above the upper end of our target range of 1.5 times to 2.5 times in 2020. We remain fully committed to reach this target range again as soon as possible. Let me also highlight that those assumptions do not take into account the potential more meaningful negative impact on the German macro economic and advertising environment resulting from the spreading coronavirus. Though we are currently not aware of any such adverse effects on our business yet and advertising customers are signaling to normal and solid standing behavior, it cannot be excluded that even the first quarter might be burdened by short-term cancellations of bookings or some disruption in the commerce and content production business in March. As already said, all the effects out of The Meet Group acquisition are also not included in our 2020 guidance because we have to wait up to the shareholders of The Meet Group to approve the deal. Please turn with me to page 19. Before I hand back to Max, I would like to highlight 2 major milestones in terms of the group structure, which make me confident that we continue to make good progress to make the company future fit, successful and highly profitable. As you might have seen most recently, we have announced that all of our entertainment activities, i.e., the TV operations, our digital units, the distribution business as well as our sales house SevenOne Media will soon be merged under one roof and become a fully operational managed separate entity called SevenOne Entertainment. This move will ensure that we can maximize results in terms of viewing across all platforms from our significant program investment. It also means a lean and efficient operations with people that have common goals and financial targets. Along with this decision, we have set up a separate Holding function that marks the second major step forward for the group. The Holding functions will continue to be in charge of the group's strategy, its execution, as well as capital allocation and, will serve a service provider for the different operating units. We would show, beginning with Q1, these costs outside of the entertainment segment in our consolidation line.  The Media SE also include a shared service center with functions like accounting and HR payroll and several centers of excellence, with important support functions, such as procurement, regulatory affairs and legal. These costs will be further charged to the sector. With the new setup, we are confident to further increase the group's stability in a constantly changing market, a better cost control as in the past, and therefore, will start to further realize the maximum value creation potential with ProSiebenSat. 1. With this, I hand back to Max.
Max Conze: Thank you, Rainer. As you've seen, we operate not the easiest of environments, but clearly, we're doing everything from structure to focusing on the right priorities to make ProSieben future fit and prosper. And then all this, even more, important that we diversify to be more digital. For 2020 we want to continue revenue growth and stabilized adjusted EBITDA. Let me just briefly comment on Q1 and start of the year. Overall, Q1 start and outlook for the year has been confident.  We've seen a very good accelerated growth in digital and smart reach, and in NuCom and encouragingly Verivox, where we had a distortion in the energy market last year, I think, is coming back well. TV market continues to be difficult, more encouraging, our commitment levels for the year look pretty good and confident, but of course, any possible coronavirus impact is not included. This brings me to this morning's news. This morning, we announced that we teamed up with General Atlantic, to, last night, signed an agreement for the acquisition of the online dating and social entertainment company The Meet Group.  It is an agreement that is also strongly supported by The Meet Group management. We're offering a cash price of $6.30 per share To Meet Group shareholders valuing group at approximately €500 million enterprise value and think this is a very attractive offer. Important to remember that Meet Group is listed on NASDAQ, and this means all this is subject to the satisfaction of customary conditions, including approval of each shareholders and receipt of required antitrust and regulatory approvals. We expect for this acquisition to close in the second half of 2020. We believe this is a unique opportunity to combine The Meet Group with our successful Parship Group and its brands, PARSHIP ELITE Partner and eharmony.  The ambition here is to build a €0.5 billion-plus revenue, top 3 global matchmaking group. The Meet Group generated approximately $206.5 million of revenue and approximately $39.5 million of adjusted EBITDA for the 12-month period ending September 30, 2019. The Meet Group includes a portfolio of fast-growing dating and live video apps, and U.S. brands such as Meetme and Tagged, as well as the German brand LOVOO. This makes The Meet Group, the perfect complement to our Parship Group, both in terms of portfolio and geography. We are, therefore, very convinced that we can create significant additional value with this transaction. Now if you go to Slide 22. I thought it's good to just remind us of the pathway that we've been on. And why we have so much conviction in this transaction. And our conviction is based on a track record with Parship Group as a great example of how ProSiebenSat. 1 can uniquely build companies and create value. We came into Parship via media for equity, our entertainment muscle helped build the business. We turned eharmony in 18 months from an outdated loss-making business to one of very profitable and fast growth. And we have a great team. The envisioned shareholding structure takes the premerger enterprise value for Parship Group of €725 million, which would be up €300 million for when we brought GA in, through, of course, we subsequently acquired eharmony. And really, the combination of Parship Group and Meet Group is the next logical step in this development journey. On to 2020, Slide 23. 2020, we are staying the course and accelerating. One, local content, we're focused more than ever on live local content on all channels, we, again, are investing more than €1 billion in our program, more than half of which is local content. And in Q1 alone, viewers can look forward to more than 40 new local formats. And we're just getting flowing this year. Next week, the second season of The Masked Singer will start. We're also exporting Masked Singer to Austria for the first time. And currently, we are in the 15th season of Germany's Next Topmodel going as strong as ever, with a market share just last week of 19.1%, and indeed, amongst young women between 14 and 29, 46.6%. And we have a great lineup of other programs coming in 2020. On digital attack, our goal really is to develop Joyn into a leading national streaming platform. To do this, we're expanding Joyn on 3 levels, in terms of content, technology and geography. We have 12 new originals for 2020 in the pipeline, stories that can only be seen on Joyn. For example, Joyn just presented at Berlinale a 6 part, comedy, drama, called From the diary of an Uber driver, featuring Kostja Ullmann that I'm really excited about. And I think we're building up a particular expertise all the way going back to Jerks in having unique German humorous drama that people love and is quite exciting. We are integrating new technical features such as download functions, step-by-step integrating our maxdome library and in 2020, together with Discovery and Eurosport player, we will make Joyn the most comprehensive home of the olympics. In Germany and indeed, we continue to have very active discussions to bring the Joyn platform to other European countries. 3, smart reach. We continue to scale our intelligent advertising products and want to double our addressable TV revenues. With these campaigns, we offer targeted advertising on TV and combined reach with addressability. And we expect further growth from d-force, our RTL joint venture in 2020, not least, thanks to the international rollout of our booking platform. And since February, we are already active in the Austrian market. If you go to Slide 24 on Red Arrow Studio. We will continue to focus on expanding our German content footprint and ecosystem RedSeven Pyjama Pictures more in the pipeline, and our international business is very strong. Love is Blind on Netflix has been a huge smash hit and just one example. And of course, on Studio71, we will continue to build more digital reach from YouTube to Tik Tok. NuCom we expect for 2020, double-digit growth in revenues and adjusted EBITDA, and we're concentrating on the expansion of our 4 key verticals.  I have commented on Parship earlier, if you look at Flaconi, which is delivering superb growth, and we really have an aspiration to become the number 1 beauty destination in Germany and beyond. On Verivox, we see a stabilizing energy market, and we have good plans in the pipe to expand our offering across insurance, telco and banking, and [indiscernible] based on experiences is quite an exciting journey, but we are expanding this experienced business from vouchers to direct bookings and a much broader offering. Transformation well, it's a journey never done, Rainer commented on building SevenOne Entertainment Group, which we're quite excited about because we are combining for the first time, our channel brands with the content, digital and marketing business under one roof. We are continuing to make ProSieben future fit, and we have a great team, full of passion to win and all bought in to be part of this journey. Slide 25, and to close. 3 things to take away. One, 2019 was a year with strong progress on our strategic agenda and fundamental investments in our future to transform ProSiebenSat. 1 into a diversified digital group. Now more than 50% of our revenues are generated outside TV advertising. We are growing ahead of many of our peers and are becoming one of the more diversified media companies in Europe.  Two, 2020, we will stay the course, become even more local, more digital, smarter in our advertising products, and have an ambition to further grow and diversify revenues and stabilized adjusted EBITDA. And three, we want to do all this to create sustainable value for our shareholders. This is exactly what a team of more than 7,000 people are working on with all their hearts and minds. Thank you very much for your attention.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.
End of Q&A: